Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Comtech Telecommunications Corp. Fourth Quarter Fiscal 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded, Tuesday, September 24, 2019.I would now like to turn the conference over to Mr. Jason DiLorenzo of Comtech Telecommunications. Please go ahead, sir.
Jason DiLorenzo: Thank you and afternoon. Welcome to the Comtech Telecommunications Corp. conference call for the fourth quarter of fiscal year 2019. With us on the call this afternoon are Fred Kornberg, Chief Executive Officer and President of Comtech; Michael D. Porcelain, Senior Vice President and Chief Operating Officer; and Michael Bondi, Chief Financial Officer.Before we proceed, I need to remind you of the Company’s safe harbor language. Certain information presented in this call will include, but not be limited to, information relating to the future performance and financial condition of the Company, the Company’s plans, objectives and business outlook, and the plans, objectives and business outlook of the Company’s management. The Company’s assumptions regarding such performance, business outlook and plans are forward-looking in nature and involve significant risks and uncertainties. Actual results could differ materially from such forward-looking information. Any forward-looking statements are qualified in their entirety by cautionary statements contained in the Company’s Securities and Exchange Commission filings.I am pleased now to introduce the Chief Executive Officer and President of Comtech, Fred Kornberg. Fred?
Fred Kornberg: Thank you, Jason. Good afternoon, everyone, and thank you for joining us on this call. This afternoon, we will be discussing the results for our fourth quarter of fiscal 2019.As you can see from our announcement today, our fourth quarter performance was an outstanding finish to a very successful year for Comtech. We generated robust financial results across the board and finished the year with a healthy backlog. We exceeded the guidance that we provided at the beginning of the year by far, completed two small complementary acquisitions and positioned Comtech for an even better fiscal 2020. As such, we’re setting our initial fiscal 2020 revenue goal to be in the range of approximately $710 million to $730 million. Our initial GAAP diluted EPS goal to a range of $1.30 to $1.45, and our initial adjusted EBITDA goal to be in the range of $98 million to $102 million.At this time, I will turn the call over to Mike Bondi, our CFO, who will provide a discussion of our financial results, both from the quarter and the full year in more detail. After that, Mike Porcelain, our COO, will provide a discussion of our business segments, as well as some thoughts about fiscal 2020. And then, I’ll come back before opening up to questions and answers. Mike?
Michael Bondi: Thank you, Fred, and good afternoon, everyone.Our net sales for the fourth quarter of fiscal 2019 were $176.4 million and given our strong Q4 performance, we finished the year with sales of $671.8 million, which represents an annual growth rate of 17.7%.From a geographic perspective, net sales in fiscal 2019 to U.S. based customers were 74.6% of total net sales with 25.4% to international customers.Bookings for the fourth quarter were solid at $112.2 million. For the full year, we achieved bookings of approximately $724.1 million and ended fiscal 2019 with a strong book-to-bill ratio of 1.08. We finished the year with healthy backlog of $683 million, which is near our record high. When you add our backlog, plus the total unfunded value of multiyear contracts awarded to us but not in backlog and for which we expect orders against, we have clear visibility to about $1 billion in total future revenue.Our gross profit percentage in Q4 2019 was 36.3% and for the year was 36.8%. As discussed before, our gross profit in 2019 reflects a significant year-over-year increase in sales in our Government Solutions segment, which historically achieves lower gross margins than our Commercial Solutions segment. Looking forward, at this point, we expect our gross profit percentage in fiscal 2020 to be about the same or perhaps slightly lower. The ultimate level of gross margin percentage will be driven based on final fiscal 2020 product mix.GAAP SG&A expenses were $31.4 million for the three months ended July 31, 2019, or 17.8% of consolidated net sales. For the year, GAAP SG&A expenses were $128.6 million or 19.1% of consolidated net sales and include $6.4 million of estimated contract settlement costs related to our repositioning in our Commercial Solutions segment, a certain of our location technology solutions and $1.4 million of facility exit costs in our Government Solutions segment.Excluding such costs, our SG&A expenses would have been $120.8 million or 18% of consolidated net sales.We continue to make investments in marketing and sales. And based on current spending plans, we do expect total GAAP SG&A in dollars to be higher in fiscal 2020 as compared to total GAAP SG&A in fiscal 2019, but as a percentage of consolidated net sales to be slightly lower than fiscal 19. Our repositioning of our location technology solutions remains ongoing. As such, it is possible that our GAAP SG&A expenses in fiscal 2020 may be impacted by the finalization of initial contract settlement estimates or even new items. Obviously, any of these types of adjustments are not in our fiscal 2020 guidance.Turning to research and development expenses. We spent $15.7 million in the fourth quarter of fiscal 2019 or 8.9% of consolidated net sales. Of this amount, $13.2 million was spent in our Commercial Solutions segment and $1.7 million in the Government Solutions segment with the balance representing the amortization of stock-based compensation, which is recorded in our unallocated segment.For the year, R&D expenses were $56.4 million or 8.4% of consolidated net sales. We expect to continue investing in R&D projects in fiscal 2020. As such, we expect the amount of R&D in dollars to be higher, but as a percentage to be slightly lower than fiscal 2019.As it relates to amortization, total stock-based compensation expense during Q4 fiscal 2019 was $8.1 million and for the year, it was $11.4 million. Amortization of intangibles was $5.2 million in the fourth quarter of fiscal 2019. For the year, amortization of intangibles was $18.3 million.Our business outlook for fiscal 2020, which assumes a full year impact from our fiscal 2019 acquisitions, is expected to approximate $21 million. Our consolidated GAAP operating income for the fourth quarter of fiscal 2019 was $10.4 million or 5.9% of net sales. Excluding $1.3 million of Q4 acquisition plan expenses, it would have been $11.7 million or 6.6% of consolidated net sales. For the year, our consolidated GAAP operating income was $41.4 million or 6.2% of net sales.Looking forward and including $1.5 million of anticipated Q1 2020 acquisition plan expenses, we believe that GAAP operating income in dollars will be higher than fiscal 2019 and as a percentage of consolidated net sales to approximate 7%.Our adjusted EBITDA was $28.3 million or 16% of consolidated net sales for the fourth quarter of 2019. On a segment level, adjusted EBITDA for Q4 2019 in our Commercial Solutions segment was $18.8 million or 18.3% of related net sales and adjusted EBITDA in our Government Solutions segment was $6.1 million or 8.4% of related net sales.For fiscal 2019, we achieved adjusted EBITDA margins of 18.6% in the Commercial Solutions segment and 11.3% in the Government Solutions segment, and on a consolidated basis 13.9%.Given all of the puts and takes in product mix and other spending changes that we are expecting in fiscal 2020, we anticipate adjusted EBITDA in fiscal 2020 to be in a range of approximately $98 million to $102 million, or as a percentage of consolidated net sales, approximately 14%. As the year progresses, we might be able to improve on this. But, given our current product mix assumptions, this seems to be the right target.Now, let me talk further about interest, taxes, EPS, cash flows, and our balance sheet. Interest expense was $2.2 million in the fourth quarter of fiscal 2019. For the year, it was $9.2 million. In fiscal 2020, we are anticipating our interest expense to approximate $7.5 million. Our actual cash borrowing rate, which excludes the amortization of deferred financing costs, currently approximates 4%.Regarding taxes, excluding a net discrete tax expense of approximately $100,000 in the fourth quarter of fiscal 2019, our effective tax rate was 23.25%. Looking forward, our fiscal 2020 effective tax rate before discrete tax items is expected to approximate 23%.On the bottom-line, GAAP net income in Q4 2019 was $6.1 million or $0.25 per diluted share. Excluding acquisition plan expenses and discrete tax items, our non-GAAP net income for Q4 2019 was $7.2 million or $0.29 per diluted share.For fiscal 2019, GAAP net income was $25 million, or $1.03 per diluted share. Excluding adjustments that are indicated in our press release issued earlier today, our non-GAAP net income for fiscal 2019 was $32.6 million or $1.34 per diluted share. On a GAAP basis and including $1.5 million of acquisition plan expenses, as Fred mentioned, we are setting our fiscal 2020 diluted EPS target to be in a range of $1.30 to $1.45 and non-GAAP EPS to be in a range of $1.35 to $1.50. Ultimately, fiscal 2020 GAAP EPS will be impacted by the final amount of acquisition plan expenses and other adjustment items that may occur during the year.Once again, we achieved strong operating cash flows of $14.2 million for the fourth quarter of fiscal 2019 and $68 million for fiscal 2019. Our Q4 cash flow benefited from changes in working capital and timing. And looking forward, we do expect some buildup of working capital in fiscal 2020, given our growth. As such, we expect to generate somewhere between $50 million and $60 million of cash flows from operations in fiscal 2020. As the year progresses, we will fine tune this amount.Our balance sheet as of July 31, 2019, includes $45.6 million of cash and cash equivalents, and our total debt outstanding was $165.8 million. Our balance sheet has plenty of flexibility and our current secure leverage ratio, as defined in our credit facility, is only 1.74 times.Let me give you some additional color on the financial guidance we provided today with respect to timing around the quarters and our expected Q1 2020 performance. As we have stated before, Comtech’s fiscal quarters often have some unevenness or lumpiness to them. In this regard, similar to Comtech’s business cycle, in the past several years, financial performance in the second half of fiscal 2020 is anticipated to be higher than the first half, with Q1 expected to be the lowest.I want to point out that operating income in Q1 of fiscal 2020 is expected to be lower than the $7.3 million we achieved in Q1 of fiscal 2019, primarily due to incremental amortization of intangible assets. As we sit here today, Q1 looks like it will come in around $168 million of sales, with adjusted EBITDA at $18.1 million, or slightly better than the $160.8 million of sales, and $18 million of adjusted EBITDA we achieved in Q1 of fiscal 2019. GAAP EPS in Q1 fiscal 2020 would approximate $0.14.For the rest of the year, we do expect consolidated net sales and adjusted EBITDA for each quarter of fiscal 2020 to be better than the comparative quarters of fiscal 2019, with the fourth quarter being the peak.Stepping back, 2019 was a great year, and 2020 looks like it will be even better.Now, I’ll hand it over to Michael Porcelain.
Michael D. Porcelain: Thanks, Mike.Based on demonstratively strong operating results, I do believe it is clear that our long-term business strategies are paying off. Let me give you some recent developments and additional color for each of our two business segments, both for 2019 and 2020.As we head into fiscal 2020, we have started to rebrand some of our product lines and further integrate them to make them more reflective of our strategies, leverage sales efforts and to highlight the growth opportunities that we see. I’ll mention the rebranding efforts as I go along.In our Commercial Solutions segment, it was a great year. Net sales were $103 million this quarter, and $357.3 million for fiscal 2019. Total sales in this segment were up 3.5% versus last year. Bookings in this segment were $65.7 million for the quarter and $448.1 million for the year, resulting in an outstanding 1.25 book-to-bill ratio. Our satellite ground station technologies solution line, which consists primarily of our modems and amplifiers, both solid state and TWTA that are used in satellite communications, and which we previously referred to as our communications technology product line, had a terrific year.Although our satellite ground station technology solutions line did experience order delays and lower sales for in-flight communication amplifiers, it experienced significant growth in sales in fiscal 2019 to international customers as well as incremental demand from U.S. government customers. We believe this product line is poised for growth, not only in fiscal 2020, but for the next several years.Our Heights products are clearly hitting their mark, and it was a very successful fiscal 2019. Heights sales were significantly higher than the levels achieved in fiscal 2018, and the pipeline continues to grow.Based on the anticipated increase in the number of satellites, both high-throughput or HTS and LEO satellites expected to be launched, and the need to backhaul cellular traffic, and as networks migrate from 3G to 4G and ultimately 5G, we believe that we are in the early stages of a multiyear period of growing demand.Now, let me turn to our public safety and location technology product lines, who in fiscal 2019 sales in aggregate were significantly higher as compared to fiscal 2018. Here too, sales in fiscal 2020 are expected to grow. As part of our previously announced enterprise product line repositioning, we are rebranding those products as Location Technologies. This simple name was chosen to highlight our strength in mapping and location. And our location strategy going forward is to continue to focus on carrier solutions, advanced location for enterprises and public safety opportunities. Our public safety and location technology product lines are anticipated to benefit from both the Solacom acquisition and our acquisition of the GD 911 business. And we believe that these acquisitions are already having a positive impact.Sometimes, touting is better left to others. And in this regard, I’m pleased to announce that since our last conference call Frost & Sullivan announced that we were the winner of their 2019 North American product line strategy leadership award. As stated in their report, this award was based on our assembly and introduction of a comprehensive next generation 911 product line that truly addresses customer needs, reduces complexity and accelerates the widespread adoption of next-generation 911. With our recent acquisitions, Comtech has emerged as one of the largest next generation 911 contract holders in the United States. We are pleased with this award by a third party. And during fiscal 2020, we expect to continue to communicate our award-winning strategies to our customers and focus on execution.Looking forward, we have a strong base of backlog and growing opportunities, and end market conditions for our public safety products, while competitive, remain healthy. All-in-all, given the product leadership strengths we have in our Commercial Solutions segment, we are optimistic that this segment has set the stage for multiyear growth.Now, let me turn to our Government Solutions segment where here too we had a banner year. Net sales in this segment were $73.4 million in Q4 of fiscal 2019 as compared to $74.2 million in Q4 of fiscal 2018. And for the full year, net sales were $314.5 million, which represents an increase of 39.5% over the prior fiscal year.Bookings in our Government Solutions segment for fiscal 2019 were solid and came in at $276 million. Looking forward, we do believe that fiscal 2020 will be a year of growth for this segment. We are also doing some rebranding efforts here too, and going forward, we will be talking about two solution groups. The first Government Solutions group will now be called mission critical, which provides tactical, satellite-based technology solutions, field support services, and satellite component supply chain management.The second group will be called high-performance transmission technologies. This solutions set consists of our radiofrequency solid-state high power amplifiers and switching technologies and troposcatter technologies, which are used in sophisticated communication systems, electronic warfare, radar, identification friend or foe applications.Our Government Solutions segment is a key supplier for large governments, particularly the U.S. government and large prime contractors. And we believe this product line rebranding will better reflect our core strengths.Today, our Government Solutions segment is a leader in providing Manpack Satellite Terminals, networking equipment and other advanced VSAT products to the U.S. Army pursuant to the $223.4 million Global Tactical Advanced Communication System, or GTACS contract, which is a remaining unfunded contract value of $45.5 million. We are also the sole provider of SNAP sustainment services to the U.S. Army. And in fiscal 2019, we received $41 million of orders for these services. This work is expected to continue through fiscal 2020, and we believe for many years ahead.Our work in this segment is just not limited to the U.S. government. We also sell to many foreign governments. For instance, during our fourth quarter, we received a $4 million contract from the Brazilian military to expand their satellite-based network for its air traffic control system. We believe that international sales will continue to grow over the next several years and we are focusing on that.Today, we have several large opportunities in this segment and are optimistic that as the year progresses, we will be able to report them as bookings. All-in-all, fiscal 2020 is looking like another year of growth for our Government Solutions segment.Before turning it back to Fred, I do want to make a few remarks about our recent success and our go forward strategy.Several years ago, we embarked on a strategy to transform ourselves to have greater scale, more diverse earnings and expand our participation into growing markets. We believe our strategy of investing in marketing and R&D and focusing on both organic and acquisition growth has unquestionably proved successful.I want to provide a few data points that evidence this, and which also illustrates how Comtech has firmly established itself as a market leader in the growing secure wireless communications market.First, looking back in time, just four years ago to the end of our fiscal 2015, we had $307.3 million of revenue and $51.8 million of adjusted EBITDA. Both of these metrics were down double-digits from 2014. Back then, things were not looking too bright, and we were still recovering from a large 2010 contract loss. But today, we are pleased to be able to same here and proclaim that fiscal 2019 was our fourth year of consecutive revenue growth and our third year of consecutive adjusted EBITDA growth.Looking at the midpoint of our fiscal 2020 targets, we are expecting to grow again. And when comparing these targets to fiscal 2015, we are nearly twice the size and are able to offer customers more advanced solutions. We believe our customers are recognizing this change, and we hope to participate in more and larger opportunities with them.Second, back in fiscal 2015, we were not really well diversified, and we were over exposed to the extremely volatile international markets. In fact, almost 60% of our revenues were international -- 60% of our revenues were international, and today, only 25% of our revenues are derived internationally. We also had no exposure to state and local governments and virtually no relations with U.S. mobile carriers. That has clearly changed. In fact, as we sit here today, approximately $404.4 million or 60.2% of our 2019 revenues did not even exist in fiscal 2015.As an example, software sales have become more important in our business, and we are pleased that we have somewhat transformed ourselves in this regard. We sold virtually no software back in fiscal 2015. And today, we are a leader in 911 public safety and location solutions, the vast majority of which are software based.In addition, we continue to develop our Heights solution, which is software derived, and we went from virtually zero dollars in the sales -- zero dollars of sales in fiscal 2015 to now double-digit millions with more growth on the way. Although, I don’t want to provide a specific number at this point, it is fair to assume that approximately 50% of our Commercial Solutions segment revenues or approximately 25% of the total Company’s revenue is now software based. That again is from a base of literally zero. Clearly, a major game changer for us as a large amount of software-based revenue is repeat type or annuity type.Fourth, on the acquisition front, we have successfully completed three acquisitions. As everyone knows, our fiscal 2016 TCS acquisition was very large and very complex. Although we had a lot of cleanup to do and it took some time, TCS has been fully integrated into our business. Today, the success of that acquisition is clear. Building on that success in fiscal 2019, we made two small but important acquisitions in the public safety market. The fiscal 2019 acquisitions of Solacom and GD Next Generation 911 have further solidified our market leadership position in the public safety space. And as I mentioned earlier, Frost & Sullivan has recognized our accomplishments here.Looking forward, in addition to achieving organic growth, acquisitions are part of our growth plan. From our perspective, acquisitions bring more programs, more capabilities, and will allow us to achieve more profitable revenue growth than we could achieve by ourselves. Our business outlook of course does not include the impact of these acquisitions. Like we have demonstrated with our recent acquisitions, we only intend to do acquisitions that we believe we can fit into our culture and values, and ones that we can -- that we believe we can deliver long-term positive results for our shareholders.As we head into fiscal 2020, we are continuing with our acquisition plan efforts. And in Q1, we do expect, as Mike Bondi mentioned, to incur at least $1.5 million of expenses, during the quarter.Finally, one last comment, when I sit back and look at Comtech, one key data point that I find a great testament to our strength and market leadership positions is our operating cash flows. Here, we have generated over $185 million of GAAP operating cash flows over the last three years. Timing aside, we expect cash flows to grow from current levels, and I am optimistic that our future is bright for many years to come.Now, let me turn it back to Fred, who will provide some closing remarks. Fred?
Fred Kornberg: That’s a hard act to follow, but as I previously mentioned, I’m very pleased with how our business is performing in fiscal 2019. And fiscal 2019 was a terrific year for Comtech. It illustrates the earning power of our business and our product leadership positions.Looking out to fiscal 2020, I can say at this point, we have a clear visibility, lots of optimism, and a strong business momentum.We believe that in an environment of increasing market demand for global voice, video and data usage, customers will increasingly turn to Comtech to fulfill their needs for secure wireless communications. With that wind at our backs, I’m confident that we’re looking at sustained growth for years to come.Given our strong business outlook, our Board of Directors today declared a dividend for the fourth quarter of fiscal 2019 of $0.10 per common share, payable on November 15, 2019 to shareholders of record at the close of business on October 16, 2019. We continue to believe our dividend program is a great way to return capital to our shareholders as we grow our business into the future.Now, I’d like to proceed to the question-and-answer period of our conference call. Operator?
Operator: [Operator instructions] We will take our first question from Joe Gomes with Noble Financial. Please go ahead. Your line is open.
Joe Gomes: Good afternoon and great quarter and nice finish to the year.
Fred Kornberg: Thank you, Joe.
Joe Gomes: Just wondering if you might provide a little bit more talk on the BFT and the troposcatter programs, where you guys are on those, where you think you might see happening in 2020 on those two programs?
Michael D. Porcelain: First, Joe, I guess, I’d like to mention that none of those two areas are in our guidance and what we foresee in 2020. Having said that, let me take on and give you some information that we can put forward.The troposcatter requirement by the U.S. Marines is in process, obviously. And as we understand, the technical evaluation has been finalized and the award is projected to be in the next government fiscal year, which starts in October 1st. That said, whether it’s in October or in January of next year, we really can’t tell. That’s really a situation that the army -- I am sorry, the Marines will determine as their funding becomes real. So, we’re anxiously waiting, we are very positive on it, but we can’t tell you more than that.The second part on the BFT area. As you know, we did receive a while back, 5,000 of our transceivers for the use with the BFT-2 program. We anticipated at that point with the Army’s statements that there would be follow-ons to those 5,000 transceivers periodically to accrue to almost better than 20,000 transceivers. That has not happened, and that is probably something that has been kind of diverted for the moment.I think, what we see now, and as you have seen, we received two development programs from the program office of the Army to develop some new requirements that will fit into what was now called the BFT-3 program and that the BFT-2 program will really not get any further -- let’s say further development or further usage from the Army. So, I think as a total program to us at least, it appears that the Army has decided to kind of push it to the right and going to BFT-3 rather than fixed BFT-2.
Joe Gomes: Okay. Thank you for that update. I appreciate it. And on the enterprise tech repositioning, I know this is somewhat difficult to get a clear answer. But, how much long do you think that that takes, what else do you guys need to do there to have that repositioning all finished?
Michael D. Porcelain: Yes. It’s sort of a two-pronged answer. The first is really continued evaluation of our current set of contracts. And if you remember, during 2019, we took some charges associated with that. And I would say to you that that piece is largely done. We’ve kind of been through the portfolio of customers and contracts that we have. We’re still trying to work through one or two of them. But that part of the process is done.So, then, we’re -- I think, I mentioned on the call, we had lost and decided not to bid on a few different contracts with companies that have been in the news lately and some that have been restricted, because of the location of the business that they actually operate into. And so that piece and that analysis is sort of done. So, now, we’re into the second phase, which is really shifting our focus on new opportunities where we have the best strength. We have key capabilities and market [ph] leadership positions in location with, let’s say, telephone companies, or mobile carriers. And just to give you a sense, a lot of people think, we’re just providing location data to U.S. companies, but we actually do 100% of all the companies up in Canada, for instance. So, we’re working to expand our ability to provide Location Technologies, not only amongst U.S. carriers, but elsewhere in the world. And so that process is an ongoing effort. And that’s really a sales effort.The second piece, again, is also a sales effort that we’re going to be trying to take some of our key mapping products. And, again, working with partners, I’m not saying too much about our plans, we’re going to be focusing on the public safety market to really going to our customers and bring them new ways of helping first responders when it comes to dealing with 911 type situation.So that piece is going to take some time, and I would say to you, our 2020 revenue guidance that Fred and Mike had talked about earlier that sort of reflects our efforts in there. But, sales efforts is going to take some time before that to launch off. But from a charge and a cost perspective, I would say we’re largely done with that. We’re more into the -- we’re now into grow in that business and going after our new business phase.
Joe Gomes: Great. And one final one for me, I mean, obviously, you guys knocked the ball out of the park ‘19, ‘20; ‘20 is looking even better. What is out there that gives you concern going into 2020 that might be an obstacle to making your numbers that -- guidance numbers?
Fred Kornberg: I think, mainly, it would be probably government funding, recession, things like that. I think, percentage wise, we probably have 2020 revenue to the tune of 60% of the backlog right now. So, we don’t have that much to -- I guess, to book and ship. So, we’re pretty confident that 2020, we’ll get there.
Operator: [Operator Instructions] We’ll take our next question from Chris Quilty with Quilty Analytics. Please go ahead. Your line is open.
Chris Quilty: Hi, guys. I wanted to follow-up on the Heights product line. Last quarter, you had mentioned, through Q3, you had already exceeded the FY18 effort. I was wondering where you finished at? And second part to the question is, where -- what markets or applications are you specifically seeing strength?
Michael D. Porcelain: Well, it’s fair to say that Q4, we had more sales, and so we added to our accomplishments I guess, in 2019. We’re -- as this business is growing, we’re probably going to give less information in terms of where we are in terms of the actual number, except just to either confirm that we’re continuing to grow, and it is picking up sales. So, yes, it definitely was a good quarter in Q4.The applications are really all over the place. Some of it’s in the cellular backhaul side with some opportunities. We’ve sold some stuff to Japanese transportation companies. We’ve sold, as we previously announced, to Claro, one of the Latin American cellphone companies. And really, -- and stuff all over the place, in the cruise line as well. So, this is a product that has wide range of applications, and we’re focusing on those areas.
Chris Quilty: Got you. And a follow-up, I think, last quarter, you had mentioned a low cost version of platform was at the Pico something.
Michael D. Porcelain: Yes.
Chris Quilty: But, I don’t remember when had that product been released or when was the release date for it? And sort of expectations for what market it’s going to be attractive and possible contribution in ‘20?
Michael D. Porcelain: Yes. There’s a couple of different variations of the Pico. But, I’m going to jump the gun here a little bit and say, I think we’ve announced them. If not, they’re going to be announced very shortly, but we have talked about them publicly with our customers. And yes, they’re really for what you think about it, when you when you have a network, and you have many, many different terminals that are out there, remote terminals, you want to provide the more accessibility to that network. So, Pico type of a product is really able to allow customers to develop very large networks at lower cost, because they don’t need all that power, let’s say in all of the different areas.So, it’s really allowing our expanded -- that’s what’s really driving the expansion of the total addressable market for that product, because it will allow Heights to be deployed within much larger networks that need a low-cost terminal.
Chris Quilty: Understand. Shifting gears, the Marine Corps tropo program, do you know is that expected to be a funded line item or is that an unfunded requirement?
Fred Kornberg: No. It’s a funded line item for the Marine Corp. They did have the funding earlier when they were in combination with the Army program. But, having parted ways, they shifted their funding into the next fiscal -- government fiscal year, which starts in October. So, their funding will be available as from what I understand as of October 1st.
Chris Quilty: Understand. And less important, but some of the international tropo programs, anything that might land in ‘20 that would be meaningful?
Fred Kornberg: Yes. We have a number of opportunities internationally, but obviously at a much smaller booking rate than the Marine Corps. The Marine Corps is the large program that we’re chasing at the moment. We do have some in the single-digit millions or some even in the double-digit millions. But, as you know, these things take inordinate amount of time to book. So, it’s a long booking cycle. So, we’ve got the opportunities, but it’s really difficult to tell exactly when some of the biggies will come in.
Operator: And there are no further questions on the line at this time. I will turn the program to our presenters.
Fred Kornberg: Okay. Well, thanks again for joining us today. And we look forward to speaking with you again in December. Thank you very much.
Operator: This does conclude today’s program. Thank you for your participation and you may now disconnect.